Operator: Greetings and welcome to TopBuild's First Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tabitha Zane, Vice President of Investor Relations. Thank you. You may begin.
Tabitha Zane: Thank you, and good morning. On the call today are Robert Buck, President and Chief Executive Officer; and Rob Kuhns, Chief Financial Officer. We have posted senior management's formal remarks and a PowerPoint presentation that summarizes our comments on our website at topbuild.com. Many of our remarks will include forward-looking statements, which are subject to known and unknown risks and uncertainties, including those set forth in this morning's press release as well as in the company's filings with the SEC. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Please note that some of the financial measures to be discussed on this call will be on a non-GAAP basis. The non-GAAP measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. We have provided a reconciliation of these financial measures to the most comparable GAAP measures in a table included in today's press release and in our first quarter presentation, which can also be found on our website. I will now turn the call over to Robert Buck.
Robert Buck: Good morning, and thank you for joining us today. Before discussing our first quarter results, I would like to make a few comments regarding our view of the U.S. housing industry. We recognize that there are concerns that rising home prices, led by higher interest rates and an inflationary environment, could dampen consumer demand. And we agree there is a possibility that some consumers to be priced out of the market. Where we differ is with the sentiment that these factors will cause a material downturn in the U.S. housing industry. Looking at the macro environment, while interest rates have risen and will likely continue to increase over the year based on recent commentary from the Fed, they're still far below historical levels. It is also essential to consider long-term supply and demand fundamentals. Average housing starts over the past 10 years have been below historical levels, resulting in very low new home and resale inventory. At the same time, we have seen robust household formations, particularly among millennials, fueling the demand for entry-level homes. Builders are acutely aware of the shortage of entry-level housing and want to take advantage of this strong demand and are adjusting their product to mitigate the impact of higher housing costs, including offering homes with smaller footprints or scaled-back options. Plus, rising wages are helping more consumers manage higher home prices. From TopBuild's vantage point, our backlog is strong and growing, supported by the widening delta between starts and completions. Our builder customers tell us they still see robust demand, and accordingly, most continue to regulate sales. So even if there are some consumers priced out of the market, we believe the demand for housing, based on the macro environment just discussed, and what we are hearing and seeing in the field is strong enough to support steady growth over the next few years. We also expect to see good growth from the commercial and industrial end markets, which are tied to a wide range of construction projects and industries separate from housing. Our mechanical insulation business also benefits from recurring revenue tied to maintenance and repair operations. Combined, on a pro forma full year basis, these end markets contribute about 37% of our revenue with plenty of opportunities to expand our market share. Over the past seven years, we've demonstrated that our diversified business model, combined with our strong operational execution, overall scale, M&A expertise, proven ability to strike the optimal balance between price and volume and flexible cost structure should enable us to outperform the market in any environment. Turning to our first quarter results. We again demonstrated the strength of our operating model and our ability to manage material cost increases and selling price adjustments. Revenue increased 57.4%, and same-branch adjusted EBITDA margin expanded 310 basis points to 18.7%. The construction industry continues to experience material and labor constraints, elongating the build cycle and growing the backlog of work. At this time, we don't see any indications that the supply chain and labor constraints are beginning to ease, again, supported by the recent starts and completions data. Fiberglass capacity and pricing remains a fluid situation. We've seen two cost increases this year and will likely see at least one more by year-end. Though additional loose fill capacity did come online late last year and in March of this year, manufacturers are performing line maintenance, reducing supply in the short term. While the industry remains on allocation, the quality and reliability of our supply chain is a clear competitive advantage for TopBuild. Relative to spray foam, we have not yet seen any easing of supply constraints and costs continue to escalate. Unlike fiberglass, spray foam is dependent on imported components, many from Asia. Spray foam manufacturers are also experiencing limited availability of the new closed cell blowing agents required by some states, further constraining supply. Where possible, we continue to invest in extra inventory to service our customers, grow our share and smooth out some of the supply chain disruptions. While Rob will discuss our business segment results in more detail, I want to recognize our Installation and Special Distribution teams for outstanding execution in a difficult and demanding environment. Great job by our field and support teams in driving shareholder value. Installation revenue on a same-branch basis grew 17%, and the team continues to do an excellent job managing price, labor needs and meeting customer expectations. Our backlog continues to expand as supply and labor constraints remain obstacles to strong industry volume growth. Specialty Distribution on a same branch basis continues to see volume impacted by supply constraints in many of the products we distribute. On the flip side, these constraints enabled the segment to see 22.9% in price realization compared to the first quarter of 2021. While we're not breaking out financial results for DI, I will say the DI revenue is growing at a solid pace given fewer supply chain disruptions and great supply planning and margins are expanding. The benefits of this strategic acquisition focused on our core business of insulation are exceeding our expectations. Turning to the integration of DI. With about seven months under our belt, it is proceeding very well, thanks in large part to the dedication of our multifunctional team driving this effort. To give you some specifics, supply chain integration is on schedule, many functions are now operating under one umbrella, including finance, human resources, legal, safety and strategic sourcing, and we're beginning to move DI's branches onto our common ERP system. We are extremely confident we will achieve the $35 million to $40 million of synergies by the end of our second year of ownership as projected back in October when we closed this transaction. This has been a tremendous acquisition for our company, diversifying our revenue stream, providing a strong entry into the Canadian market, expanding both our core product offerings and customer base as well as enhancing our M&A pipeline. On the capital allocation front, we've completed four residential insulation acquisitions this year, which are expected to contribute close to $16 million of annual revenue. Acquisitions continue to be a great use of our capital, generating strong returns for our shareholders. While we have a solid prospect pipeline and hope to see additional transactions close as we move through the year, the successful integration of DI remains our top priority. We're also pleased to announce the $100 million accelerated share repurchase, which we anticipate executing within the next several days. This program reflects management's and our Board's confidence in the long-term potential of TopBuild and our strong future cash flow position. In summary, we had a great first quarter to start what we believe will be a solid 2022. Our team continues to execute well and generate strong results, managing rising material costs and achieving selling price increases while maintaining our unwavering focus on profitable growth. Looking forward, we believe there are several years left in the residential market to facilitate steady growth. Our commercial and industrial markets continue to show strength as well. Our diversified model positions TopBuild to outperform in any environment. Rob?
Rob Kuhns: Good morning, everyone. As Robert noted, our teams continue to execute at a high level in a challenging business environment. The benefits of these efforts were reflected in our strong first quarter results, which included revenue growth and expanded adjusted EBITDA margins in both our Installation and Specialty Distribution segments. In the first quarter, net sales increased 57.4% to $1.2 billion driven by revenue from acquisitions, which increased sales 38.6%. Same-branch sales growth, which excludes the impact of acquisitions completed in the last 12 months, was 18.7% due to higher selling prices and higher sales volume. First quarter adjusted gross margin expanded 160 basis points to 28.3% driven by higher selling prices, higher sales volume, synergies from the DI acquisition and operational efficiencies, partially offset by material inflation. Adjusted operating profit in the quarter grew 72.4% to $167.5 million with a corresponding margin improvement of 120 basis points to 14.3%. Keep in mind that our adjusted operating margin includes $9.6 million of incremental purchase price amortization from the DI acquisition. On a same branch basis, operating income margin was 16.4%, an improvement of 330 basis points. First quarter adjusted EBITDA increased 74.2% to $201.7 million, and our adjusted EBITDA margin was 17.3%, a 170 basis point improvement. On a same branch basis, our adjusted EBITDA margin was 18.7%, an improvement of 310 basis points. Both adjusted operating income and the EBITDA margin improvements were driven by the previously mentioned factors impacting gross margin as well as our continued controls and discipline around SG&A costs, enabling us to leverage our fixed cost base. Evidence of this leverage was seen in our same-branch incremental EBITDA margin, which was 35.2% in the first quarter, well ahead of our guided range of 22% to 27%. Our overall incremental adjusted EBITDA margin was 20.2%, which consisted of the 35.2% same-branch incremental EBITDA margin and our M&A EBITDA margin of 12.9%. First quarter interest expense increased from $6.6 million to $12 million, primarily as a result of additional interest expense related to our $500 million senior notes offering last October. Our effective tax rate was 24.9% in the first quarter compared to 20.7% for the comparable period in 2021. The higher rate was primarily due to a decrease in the benefit related to share-based compensation and state tax adjustments. Adjusted net income for the first quarter was $115.6 million or $3.50 per diluted share, an increase of 73.3% compared to $2.02 per diluted share in the first quarter of last year. First quarter adjustments to net income were $3.5 million, primarily tied to acquisition-related costs. Moving to our balance sheet and cash flows. First quarter CapEx was $18.4 million, approximately 1.6% of revenue. Working capital as a percent of trailing 12-month sales was 14.8%, 460 basis points higher than a year ago, primarily as a result of the DI acquisition. As I mentioned on our February call, DI has a higher working capital profile than our legacy business. In addition, another factor impacting working capital this quarter was our taking advantage of the opportunity to build some inventory at both business segments to help mitigate the ongoing supply chain constraints and meet our customers' strong demand. Over the long term, our working capital target remains 11% to 13%. First quarter operating cash flow was $89.5 million. We ended the quarter with net leverage of 1.84x trailing 12 months adjusted EBITDA, an improvement from last quarter when our net leverage was 2.0x. Total liquidity was $556.6 million, inclusive of the available balance on our $500 million revolver of $430.1 million, and cash of $126.6 million. Now let's turn to our segment results. In the first quarter, our Installation segment's net sales increased 27% to $676.7 million. Revenue from acquisitions increased sales by 10%, and same-branch sales grew 17% due to higher selling prices and sales volume. First quarter adjusted EBITDA margin for the Installation segment was 19.1%, a 270 basis point improvement compared to first quarter of last year. Specialty Distribution's first quarter sales were up 116.2% to $543.9 million. Revenue from acquisitions increased sales 93.3%, and same-branch sales increased 22.9% due to an increase in selling prices. First quarter adjusted EBITDA margin was 15.6%, a 60 basis point improvement. As Robert mentioned, DI is performing well and the integration is proceeding as planned. We're already enjoying some synergy benefits and are even more confident today that we will successfully deliver the $35 million to $40 million of synergies announced at the time of the transaction. Moving to our annual guidance. We expect 2022 to be a solid year for TopBuild. However, as noted in February, our guidance assumes continued industry-wide material and labor constraints, limiting volume growth in our end markets to the low to mid-single digits. Based on our first quarter results, current backlog and conversations with our customers, we are now projecting total sales to be between $4.65 billion and $4.8 billion, a $150 million increase on both the high and low end of the range. We are also increasing our guidance for adjusted EBITDA to be between $810 million and $860 million, a $40 million increase on both the high and low end of the range. At the midpoint of our guidance, our adjusted EBITDA margin has increased 30 basis points, and we expect to be at the high end of our 22% to 27% incremental organic EBITDA range for the full year. Our long-range modeling targets and assumptions are unchanged from those we published on February 22. I will now turn the call back to Robert for closing remarks.
Robert Buck: Thanks, Rob. In closing, while we recognize we can't control the macro environment, what we can control is how we operate within it, and our focus remains on growing our market presence, improving operational efficiency, driving profitable growth and successfully integrating DI. Our unique business model, which includes Installation and Specialty Distribution in the residential, commercial and industrial end markets offers multiple avenues for growth and gives us the ability to outperform in any environment. As a reminder, we are hosting our Investor Day on May 26 in New York City. The key team leaders from Installation and Specialty Distribution will be there as well as our senior leadership team. If you're interested in attending, please contact Tabitha, and she'll give you the details. Thanks again to our entire TopBuild team for their hard work, energy and unyielding focus on delivering continued great customer service and strong results while operating safely every day. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Stephen Kim with Evercore.
Stephen Kim: Impressive results as usual. I guess I'd love to hear you size up the delays in the industry, if you can just give some color around that. I think last quarter, you said that they had worsened. Just curious if you could maybe quantify how much they worsened. You talked about spray foam, but I'm curious as to -- if you could kind of go through your -- I think there's three segments and sort of talk about how the delays are affecting each of them, that would be really helpful.
Robert Buck: It's Robert. So I'll answer from a few different angles. I would say, relative to the -- what I'll call the lag or the cycle time in the quarter, it definitely got worse again in Q1, I think, across the industry. And so we would say probably by another two or three weeks, which I think is pretty consistent with what we've heard from our customers and what we've heard publicly as been said by some of the bigger builders as well. And I think you probably know those numbers relative to the starts in the quarter, I think up 10-plus percent, and completions down in the quarter by about 5%. I think it showed through in the numbers as well. If I think across the segments/products, fiberglass is tight based on allocation, partly due to some supply chain disruptions there with the manufacturers. And then also, just given that appropriate maintenance that they're doing on some of their facilities, spray foam definitely is still tight. I think I mentioned last quarter, I'll say again this quarter, open-cell, some relief there, but closed-cell foams still very, very tight and especially with the new blowing agent required by some states as well. I think on the industrial side, not as many disruptions there. Material is still tight, but not as many disruptions or maybe not as tight there, thus our commentary where we saw some nice volume on the industrial side of the business. So hopefully that kind of hits across segments, products and then just overall what we saw in cycle times as well.
Stephen Kim: Yes, that's helpful. Just to clarify, the fiberglass maintenance that's happening, is that -- in your view, is that -- when is that going to be -- cease to be a headwind?
Robert Buck: Yes. I think based on what we understand for the manufacturers, there's probably some more maintenance that will happen here into the summer months. But we would expect when we get in the back half of summer, i.e., August type of time frame into the fall, some of that maintenance definitely starts to slow down.
Stephen Kim: Okay. Great. And then last one is building inventory or safety stock, I think, Rob, you referred to that. Just curious, much more to go there. How long do you expect to run sort of elevated -- these kind of elevated levels of working cap?
Rob Kuhns: Yes. Yes. So definitely, in this current environment, Stephen, we'll take whatever inventory we can get with material as tight as it is and price is rising. So where we could, strategically, we have invested. The working capital percentage does get a little bit distorted because of pricing right now. So if you just look at the overall percent increase from Q4, our inventory was up 10% and our sales were up 10%. So a lot of it is just the growth and the inflation and the inventory as well.
Operator: Our next question comes from the line of Ken Zener with KeyBanc.
Ken Zener: Your results and the incremental margins you're achieving, if you just take a little bigger picture and obviously at your Investor Day, I think some of these broader pictures or scope will turn up. You guys had a fixed cost platform that you said you would grow starts into for some of your peers, the incrementals that you've achieved through, that rise in volume. Now the volume's slowing, you're obviously getting a lot of price. It appears your distribution arm has certainly helped you, I think, gather that material. Could you kind of just frame up the fact that you're running so far above your incrementals? How much of that you think is your platform? How much is perhaps like FIFO/LIFO stuff running through given pricing that we're seeing? And maybe just give a little context because you have this perspective. When you see price so -- contributing so much to the growth, which is obviously flowing through your margins, how that kind of normalizes given the cycle times we're seeing in the industry. It's just such an interesting dynamic, in my view.
Rob Kuhns: Yes, Ken, this is Rob. So there's a few things that are really driving that, right? I mean our field operators are just doing an excellent job navigating in this difficult environment with tight supply and rising prices. So as you mentioned, price is definitely a piece of it, both on the distribution and install side. We're making sure we're getting paid for the top service that we provide to our customers. And our field just does a great job of that. And then you also mentioned our fixed cost leverage. That's something we focus on every day is managing our fixed costs. And so obviously, as prices go up, we continue to leverage that, just like we do in a volume environment. And then really, the third thing driving those superior margins is our productivity initiatives, right? We're doing a lot of things in the field, whether it's investment in technology to help us with time tracking or job quoting, our focus on bottom 25 performing -- bottom 25% performing branches, always trying to improve there. There's always just a lot of initiatives there that help drive it, too. So our forward-looking guidance is going to stay at that 22% to 27%, but we're always going to do our best to outperform it as we did this quarter.
Ken Zener: Appreciate it. And then given DI, the on-site tour, that was very helpful before the recent events in Ukraine. Can you talk about what you're seeing in the energy industry? I mean, is that -- is there a lot of change that you see in terms of "maintenance"? Obviously, new construction takes eon. But does that type of tailwind in that sector, does that really change the maintenance? Or is it so constrained by labor in that market that you really can't do much?
Robert Buck: Yes, Ken, this is Robert. So in that segment and especially in some of the areas that you're talking about, there's kind of two sets of projects there. There's what you call turnaround projects, which are where you shut down a certain part of a refinery and you do that kind of MRO work, and then you got kind of capital projects. So that turnaround work is scheduled well out in advance. So we don't see a lot of changes there. Capital projects, there can be some more funding of that per se, but I wouldn't call it dramatic. I would say, though, as we look at backlogs, bidding and overall projects in the industrial space, some really nice things on the horizon there. I think partly, it contributes to how we said that industrial piece kind of started recovering later after the initial COVID piece. And I think some of those projects are coming right along with it. So really happy with what we see there and nice representation around all those verticals, if you will, from the DI business.
Operator: Our next question comes from the line of Adam Baumgarten with Zelman.
Adam Baumgarten: Can you maybe walk us through the drivers of the increased '22 guidance? It looks like the end market growth outlook is unchanged and the incremental acquisitions are pretty small. So is it primarily the strong first quarter and maybe some additional price? Maybe just some more color there.
Rob Kuhns: Yes, Adam, this is Rob. You pretty much hit the nail on the head. I mean we outperformed our first quarter expectations, both, I'd say, a little bit on the price side and also on the volume side a little bit, so that was a pleasant surprise. So we've got that flowing through for the full year. And then just with the visibility we have on the price that we've gotten, putting that through for the rest of the year, that's really driving the increase in our outlook.
Adam Baumgarten: Got it. And then just on the inventory build you mentioned, were you able to increase inventory across all categories? Or was it primarily in fiberglass installation?
Rob Kuhns: It wasn't across all categories. It was a mixed bag in different areas of the country. But it's primarily in spray foam, but a little bit in fiberglass as well.
Robert Buck: Yes, probably heavier on the DI side of the business, Adam, relative to some of the industrial products and a little bit on the foam, to Rob's point, on the residential side.
Adam Baumgarten: Okay. Got you. And then just last one for me. I mean you mentioned that there's been a couple fiberglass installation increases from the manufacturers and expect at least one more. It looks like that one more has already been announced for June from what I can tell. Do you expect another increase at this point sometime in the fall then given the three in the first half?
Robert Buck: Yes. I would say given the -- I think given the environment and stuff and the tightness of material, I think there's probably a good chance there's another increase in that fall time frame. Nothing announced or no, obviously, discussions yet, but I'd say there's a good chance of that.
Operator: Our next question comes from the line of Keith Hughes with Truist.
Keith Hughes: Just to go back, dig in a little more on DI. Do you have a feel in the quarter for what organic growth was? I know you didn't own it in the prior year, but is there any sort of indication you can give on that? And is pricing in that market, is it going up as aggressively as what we see in some of your residential installation markets?
Robert Buck: Yes, Keith, this is Robert. So not breaking it out, but there was some nice volume growth on the DI side. I'd say some -- I mentioned projects earlier, probably some share gain there as well. So the team on that side of the business doing a really nice job. Definitely inflation there as well, Keith. I wouldn't call it as dramatic as there was relative to some on the residential side or some of our legacy business. But definitely, there's been an inflationary environment there. There's actually another increase in that part of the business that's been announced in the June time frame. So definitely inflation there, but I wouldn't call it as aggressive as it's been in the -- on the residential side of the business.
Operator: Our next question comes from the line of Trey Grooms with Stephens.
Trey Grooms: Congrats on the quarter. So you guys have been very acquisitive. It sounds like DI is outperforming your expectations. So as you look out at your pipeline there, are there any other chunky-type deals like DI that complement the commercial and industrial side of the business? Or when you look specifically on that side of the business, would it be more kind of tuck-in type deals that would be kind of out in the pipeline today?
Robert Buck: It's Robert. It's a great question. Yes, definitely, I think when we announced the transaction, we talked about there's some nice chunkier acquisitions available out that we're building relationships with in that industrial commercial space, and DI bought on a healthy pipeline of that as well. So yes, definitely some, what I call, chunkier acquisitions, very fragmented, those are nice tuck-ins as well, but there are some chunkier ones out there. And we're appropriately building relationships there. Again, DI integration is our top priority here in 2022, and that's moving along extremely well. But definitely, the pipeline looks very healthy for the future also.
Trey Grooms: Great. And then last one for me. Labor, obviously, an issue for most. But for your business, are you seeing any improvement in labor availability or any change in turnover rates there? I know a lot of the labor issues are upstream from you guys, but just interested to hear what you're seeing there since somewhat skilled labor is a big part of which you have to do.
Robert Buck: Yes. I'll speak to it from two different directions, Trey. One is that I'd say we've done pretty well in our business. I think we talked about some of the programs that we've implemented, and then to Rob's point earlier, constantly driving productivity initiatives. So we've been -- but labor across the industry is absolutely still tight. And I think it streams in those starts versus completions numbers that we see out there. So as we look at other trades around us, upstream, even downstream some, we definitely see that tightness in labor on the direct labor side. And then I think if you think about just some of the professional positions as well, those positions are tight as well given what's happened across the country and the labor force.
Trey Grooms: All right. Congrats again, and look forward to seeing you in a few weeks.
Operator: Our next question comes from the line of Phil Ng with Jefferies.
Phil Ng: Congrats on another very strong quarter. I guess to kick things off, Robert, the DI acquisition has been a nice addition. Where energy prices are at right now, just curious to get your take on the outlook. And I've heard some of these LNG projects that were put on hold there and the pandemic has come back. Do you view that as a pretty meaningful opportunity for you guys down the road?
Robert Buck: Thanks for the question. So a couple of things. Around oil and gas, I mentioned earlier, so you got kind of two types of projects there. You've got what they call kind of turnarounds and you've got the capital projects. And so those are pretty well scheduled in advance and stuff, but there could be some more capital projects that come along, but the turnarounds are scheduled way off into the future. Overall, though, I'd say in the industrial space, there's some nice projects coming online and some nice projects that we're bidding, not just here in 2022 but definitely into 2023. And you hit on a really good point, and that is the LNG piece of it. And what's happening -- that's one thing that we love about the DI acquisition of that Canadian presence. And so the fact that it's allowed us to get a really leading position in Canada -- and actually, the largest in history LNG project is kicking off. I think the largest up to this point has been a $16 billion project. There's now a $40 billion LNG project that's kicking off in Canada, and we're definitely right in line with some of our key customers relative to that project. So really good outlook on the industrial commercial side of the business. And again, I'd say that's U.S. and Canada both.
Phil Ng: And that opportunity, in particular, Robert, is that a 2023 event where you would see the uptick or further out?
Robert Buck: I think 2022 will be solid, and I think we should see that carrying into 2023, not just in some of the verticals that we talked about, but I think you know DI plays in some of the other areas like food and beverage and some of the other verticals as well.
Phil Ng: Okay. Great. And appreciate no one has got a crystal ball on how housing is going to shake out, but with rates at north of 5%, curious on that side of the business, one, how is bidding activity tracking? And appreciating you got a pretty robust backlog, how do you see your volume kind of holding up in the medium term if there is an air pocket demand? Do you have enough -- a big enough backlog where it could potentially mitigate some of that volatility?
Robert Buck: Yes. I mean a couple of things on that. The backlogs are strong and growing, quite honestly, again, back to that starts and completions number that we mentioned. Q1, definitely, you saw, really, I'd call it no seasonality in the quarter, even given some winter weather that hit in certain parts of the country. So backlogs are strong. And I think we weigh heavy on what we hear some of the builders say, right? And that is if four buyers are priced out, they got eight buyers that are waiting behind to bid on some of those homes as well. So I think given that, we feel like the backlog is strong, it should definitely carry here 2022. And I think one of those kind of guiding factors is if we still see our large builder customers kind of regulating sales to kind of govern what's happening on the sales side.
Operator: Our next question comes from the line of Mike Rehaut with JPMorgan.
Douglas Wardlaw: Doug Wardlaw on for Mike. Just a question on the seasonality margin installation. I think you touched on it a little bit earlier. Usually, we see a pretty big step from 1Q to the rest of the year, and guidance just seem to imply that. So was there something unusual about 1Q? Or is there some other reason to expect the cadence to be different than usual?
Rob Kuhns: Yes. I mean I think from a seasonality perspective, what we've seen, typically, in our residential business, typically, you saw Q4 and Q1 lower than the rest, right? But with as much demand as there is out there and all the starts that are underway, we're seeing less seasonality on the residential side for sure. So I think from a seasonality perspective, Q3 and Q2 will still typically be our best, right? And I think that's true across residential, commercial and industrial, with Q4 and Q1 slightly below that.
Operator: Our next question comes from the line of Ryan Gilbert with BTIG.
Ryan Gilbert: I wanted to go back to your commentary on the guide and specifically the comments around the guidance is kind of based on your -- on the visibility on the pricing that you've achieved so far. Is it fair to say that the manufacturer price increases that we've seen this year have been fully passed through to customers at this point?
Rob Kuhns: Yes. I think it's definitely fair to say and it's definitely reflected in our margins here in the first quarter.
Ryan Gilbert: Okay. Great. And then if we see another price increase in the year, is that potential upside to the guide? Or does the guide incorporate a view that there's going to be more price increases throughout the year?
Rob Kuhns: We've got -- we're assuming a continuing inflationary environment. And so we've got our assumption for price in there. Obviously, the actual could differ from that, but we've got our expectation baked in.
Ryan Gilbert: Okay. Got it. Second question is just on insulation supply. We've been running at 1.7 million, 1.8 million starts on a seasonally adjusted annualized basis. And I think we've talked in the past about actual capacity, the industry being closer to 1.5 million, 1.6 million. Do you -- I mean, is there -- are you seeing evidence that there's a build in capacity to support this higher starts number that we've seen over the last couple of months? Or do you think cycle times just keep extending and we can continue to see that gap between starts and completions spread out?
Robert Buck: I think -- this is Robert, Ryan. So I think that cycle time is indicative of really building materials across the board, not just on the fiberglass side. I'd say we still believe that capacity number is a little slightly north of 1.5 million, well, you won't call it 1.5 million, 1.55 million, something like that. So I think that is going to be a factor. At the same time, there's a look at some alternatives at times as well. The other point would be, I think you know that some in the industry have announced some capacity expansion into 2023, i.e., back half of 2023 or late 2023. So -- but as you know, that's a little ways out there. That's another, call it, 18 months off, if you will. So probably some more capacity planned for late 2023. But right now, that's kind of where we're running on the capacity side. And again, I think probably other capacity constraints and other building products is probably more of the issue upstream.
Ryan Gilbert: Certainly, certainly. And just to remind us, how much do you think the capacity in 2023 that's been added improves the supply situation?
Robert Buck: Yes, I think the numbers, if you look at what was publicly announced, is probably in that ballpark of 3%, 3.5%, something like that, additional capacity coming on.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Robert Buck: Thank you for joining us today and look forward to seeing many of you at our Investor Day in the month of May.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.